Operator: Good morning, and welcome to the Lynas Rare Earths Investor Briefing for the 2025 financial year and the Towards 2030 Strategy. Today's briefing will be presented by Amanda Lacaze, CEO and Managing Director; and joining Amanda today are Gaudenz Sturzenegger, CFO; Pol Le Roux, COO; Chris Jenny, VP, Sales and Market Development; Daniel Havas, VP, Strategy and Investor Relations; and Sarah Leonard, General Counsel and Company Secretary. Please note that this is a restricted call and not for distribution in the United States. I will now hand over to Amanda. Please go ahead, Amanda.
Amanda M. Lacaze: Thanks, Jen, and good morning everybody. I understand we have a huge audience in attendance this morning. And as always, I thank you for your interest in our company and our operations. I think many of you will have had a chance to look at both the announcement and the presentation pack that we've put there. But I would like to step through a few of the key slides and then make sure that I leave enough time for the inevitable questions. So just in case you're reading along with me, I'll just let you know which slide I'm on as we go through. So first of all, moving through to Slide 4, I would like to take this opportunity to acknowledge the traditional owners of the lands on which we live, work and meet, across Australia. As always, for those of us who are in the minerals industry in Australia, our engagement with our local communities and particularly our indigenous communities is really important, and we are proud of the engagement that we have with our local communities in Australia. So we acknowledge and value our Aboriginal and Torres Strait Islander employees, our partners, including our contractors, our communities, and we pay respect to their elders past and present. Just speaking to Page 5, where we felt that it was timely to take an inventory on company, our capability and market position at the end of FY '25, which marks the end of the construction phase of our Lynas 2025 capital program. Are we still the leader outside China? Well, yes, we are. And first mover advantage is never something to be sneezed at. It is really a value to our business. Do we spend -- have we spent our investors' funds wisely? Did we say do what we said we would do? Yes, we have been able to fundamentally rebuild our Mt Weld facility, a whole new facility in Kalgoorlie and significant upgrading at Lynas Malaysia. We now have 3 brand build sites, which gives us derisk to growth options as we move into the future. And do we have all the assets in place to sustain our success in the future and that we are looking particularly through the lens of recent significant market developments? As always, and I know many of you understand this, but I cannot stress the importance of how IP within the organization and the skills and expertise of our people as I think anyone even with a passing interest in the rare earths market would know rare earths projects are complex, difficult and uncertain to either complete or bring to operation. And the fact that the Lynas team has done this in 3 locations over the past 5 years is really significant. And I want to take this opportunity. There are some of them on the call today to actually say thank you for their efforts. So just moving through today, I will actually cover a little of what we have done, but more on where we're going and how we would like to bring you, our shareholders along with us. So just moving on to Slide 7. And I will just pause on this briefly to say that as we look at our achievements in FY '25, and I really sort of pointed to these, the expansion at Mt Weld. The first -- the Kalgoorlie facility, the significant upgrading of our Lynas Malaysia facility. First, production of heavy rare earths, Lynas broke the Chinese monopoly on lights in 2013. This year in 2025, we broke the Chinese monopoly on heavies. Importantly, we did the work that allowed us to upgrade our mineral resource and ore reserves statement and marching forward with confidence in greater than a 20-year mine life. And we are engaged very productively with governments and customers, and we remain focused on ensuring that our customers can be confident that when they are buying our products that they are produced sustainably. A few words on safety. I know this isn't always on the tip of the tongue for -- necessarily for investors, but it is crucially important and a core value of our company and core to the value of our company, ensuring that everyone goes home safe and well every day is our core value. As we run off sort of we are transitioning from construction to operations, and that brings with it its own challenges. We are proud of our performance on the Mt Weld and lab expansion programs where we have recorded greater than 5 million man- hours with no LTIs. But we are still not happy enough when you look at these stats, yes, our TRIFR has improved, but our loss time injury frequency rate has increased. And the team is very focused on ensuring that all the new tasks as we bring our new kit online are properly assessed, risks are identified and processes and, importantly, behaviors are safe. On Slide 9, we have a sort of wrap up of the financial results. The revenue uplift has come from increased volume with sort of tempered by the effect of really very low prices for most of the financial year. The NPAT is lower than it was in the prior year, and this is essentially related to the high DA associated with the new assets as they come online. If we move forward now to Slide 11, you can see one of the things of which we are very proud, which is that by the end of the year, things were certainly looking much brighter, record production in the fourth quarter of FY '25 and the price, absolutely moving in the right direction. I will leave it with you to have a look at the slides from 12 to 17 and to enjoy some of the photos showing where we have, I believe, very wisely invested your money and move to Slide 19. So on Slide 19, you can see that we are starting to talk about the importance on continuing to support outside China industry development. Our focus remains firmly in this area. It's interesting. I think many know about the support that we received from many of our large shareholders, including Mrs. Rinehart at Hancock, who often exhausts us to maintain our focus on this development of outside China industry because of the importance globally for industry and government. Within our business, we have recently announced MOUs related to further development here, and I'll talk about that a little as I talk about our Lynas 2030 strategy and engagement with new customers and further refreshed engagement with various governments in key jurisdictions. On Slide 20, I think everyone who is on this call would know that actions in the U.S. have been particularly exciting over the past couple of months. For us and our engagement with the U.S. government, we are disclosing that we think there is significant uncertainty that the Seadrift plan will proceed as has been conceived previously. But we are working very closely with the U.S. government on what is the best outcome for both Lynas and the U.S. government. And as we have reminded them customers and governments all around the world, it is excellent, and we are big supporters of continued investment in development of outside China supply chains. But just remember, there is a functioning outside supply chain today. Lynas is the lynchpin of that outside China supply chain. And it is important that policy development is done in such a way that continues to protect that because, as I said before, development of new plants can be long and uncertain. So now I want to jump to Page -- Slide 24, as I said, and I'm trying to talk relatively fast to make up for the time that we were off air. But today, we are launching Towards 2030 Strategy. And just to put this in context, the rare earths industry is evolving rapidly. It has always been underpinned by really significant growth potential. And we have always occupied a unique position in this market, always since we started operating. Over the past decade that I have been involved in this industry, a decade or more, there has certainly been continuing rhetoric recognizing some of the issues associated with the concentration the supply chain in China. We have had now multiple instances where that concentration has been demonstrated to be unhelpful for the market and for customers. And in some instances, that has been as a result of deliberate actions and in others, as we've seen with the pandemic simply that concentration into a single supply chain has not been helpful. But what we've seen in the past few months is really very active participation from governments around the world, including Chinese government actions in sort of licensing the rare earths exports through to the relatively recent intervention by the U.S. government. We are the global leader outside China. We are uniquely positioned to capture value. And as those who have been shareholders for some time will recall, it has always been our promise that we will be in a position to take advantage of the market as it grows and as -- particularly as pricing becomes more constructive. And I would say the governments absolutely recognize the importance of our role and the importance of protecting the existing non- China supply chain. So towards 2030, what do we have in our strategy? Well, the first is we're calling it harvest. We have -- our challenge in this 5 years is to make sure we have explicitly included in our strategy. Those actions, which will ensure we deliver value on the invest -- existing investments, the money which has already been expended in developing the assets as we have them today. Our team knows this is their job and they have the plans and skills to deliver and understand that providing a return on that investment is what I want them to be thinking about when they wake up in the morning and maybe before -- just before they go to bed. Well, maybe when they come to work in the morning and just before they leave. But at the same time as doing this, we need to take this opportunity where the market is really evolving rapidly to ensure that we drive sustainable growth in a way that underpins future returns. And that is the growth part of the Lynas Towards 2030 Strategy. It is about adding resource and particularly, I mean, everybody knows the high-quality resource that we have at Mt Weld, but adding resource with a greater assemblage of heavies will certainly be attractive to us, continuing to increase our downstream capability and expanding into the outside China metal and magnet supply chain. And alongside this, we are launching today capital raise. It is an excellent opportunity to ensure that we have the firepower to be able to take full advantage of the market as it develops. So just moving through to Slide 27 before I go into some of the elements of Lynas towards 2030 in more detail. We would say to you, our shareholders, that we have very successfully pursued our organic growth strategy with the Lynas 2025 initiative. When we did the strategic assessment actually in 2019 about our business, it was crystal clear that the best shareholder return that we could deliver would be from increasing our capacity. Over the last 5 years, we are really proud to say that we've achieved a historical total shareholder return at a very significant level compared to and significantly ahead of the ASX 200 and ASX 200 Resources indices. We do have a highly attractive pipeline of growth opportunities included in our Towards 2030 Strategy. And we have a disciplined approach to capital management. And I can tell you that across our business, we have many people who treat every dollar as if it's coming out of their very own wallet. So just looking then at the Towards 2030 Strategy, reduce certainly, on the left-hand side, harvest, I do not want to in any way minimize this. This is what occupies the days of most of the people who work at Lynas, ramp up those assets in line with customer demand and market growth with an ongoing focus on operational efficiencies and flexibility. Those of you who have been on this call before will know and will have heard Pol and me talk about our costs are our muscle, right? And we need to keep that muscle trained. Even if the price goes up, we need to make sure that we are always looking for ways to improve the way that we do things and therefore, reduce the cost, otherwise known as productivity, I believe. We continue to focus on enhancing sales and pricing, and that both from strengthening our existing long-term customer relationships but also expanding our non-China customer portfolio. And I think everybody knows that following the market actions that have occurred this year, and that inbound demand continues to accelerate, ensuring optimal capital allocation and providing returns to shareholders and continuing to enhance. And I would say we have very good engagement with various governments but continuing to work with governments to ensure that industry and Lynas benefit from increased intervention. The funding that we seek to raise today is about supporting the growth side of this ledger. And that is in terms of adding resources and scale, new resource with a higher assemblage of heavy rare earths. You will have all noted that we released the memorandum of understanding with the client and state government. And we will be moving to definitive documentation on that agreement. And we think that it is really important that we contribute to the development of this activity in Malaysia, increasing downstream capacity with the increasing uncertainty over the completion of the plant in the U.S., we are going to proceed with the construction of a full-scale heavy rare earth separation plant in Malaysia. We are also looking at the best pathway for delivering value-added specialty rare earths materials. And later in the period, we would expect that we will upgrade the Malaysian facility to match the 12,000 tonnes feedstock capacity that we've just established at Mt Weld. And finally, expanding into the outside China metal and magnet market. The recent improvements in the market led by some of the government intervention has certainly seen projects which are worthwhile projects actually had new life breathed into them. We seek to participate in this part of the market, most likely on a partnership or joint venture basis. We have execution plans at various stages of development and confidence that each of these projects, you will see the order of magnitude estimates are included in our sources and uses slide. And so if we just move through to that, I mean, everybody has -- I'm sure has had an opportunity to look at that. That's on Page 33. And bearing in mind that we've only got 15 minutes left in our nominated time, I would finish by saying that it's not just our assertion that we have the assets and skills to capture the benefits of market growth now and in the future. We have the track record to demonstrate that we have the assets and skills to capture the benefits of market growth now and into the future. And so today is about making sure that people understand that we have a clear road map for continuing to grow this business and a clear articulation of the ways that we are going to take opportunity -- we're going to take advantage of the growth opportunities placed before us. And so with that, I propose that I will take questions.
Unidentified Company Representative: [Operator Instructions] And I show our first question comes from the line of Daniel Morgan from Barrenjoey.
Daniel Morgan: My question is you've got offtake discussions with the U.S. government written on Slide 20. On Slide 34, you indicate the $110 a kilo with MP is a strong market signal. You're also talking to the Australian critical minerals strategic reserve. My question is a direct one. Are you in discussions with the U.S. or Australian government for a similar pricing arrangement or backstop or underwritten agreement?
Amanda M. Lacaze: Thanks, Daniel. I'm advised that maybe everyone won't have been able to hear the question. Daniel has asked me to answer with a simple yes or no, he may or may not get his wishes on whether we are in discussions with the U.S. government or the Australian government for a similar agreement to the one that the U.S. government has concluded with MP materials. We are engaged with various governments including the U.S., Australia and the Japanese government on what it takes for the rare earths industry and the rare earths supply chains to flourish in the years to come. And one of the things that includes is a reliable floor price for NdPr, which has been set by the U.S. government and the deals they've done with MP. And as we've indicated in the strategy, yes, we are in discussions with the U.S. government, Japan and also Australia with the intent of supporting government intervention, which is designed to improve function -- the market functioning. So not a simple, yes or no, Daniel, but I'm sure that you can understand.
Unidentified Company Representative: And our next question comes from the line of Dim Ariyasinghe from UBS.
Dim Ariyasinghe: Just a question on the various -- just a question on the different buckets of the $150 million, the $310 million and the $200 million. Can you give us any more granularity on the spend? And maybe just to leave some for everyone else, maybe if you could go into the $200 million on metal and magnets? Any more color in terms of like is that -- are you going to be targeting any specific NdFeB capacity with this? I just don't think that -- we were there, I guess, from a downstream perspective and when...
Amanda M. Lacaze: Okay. Thanks, Dim. I understand the nature of the question. And we do recognize that we have given you sort of really relatively high-level buckets here and that often times, people would sort of like a few more lines in the spreadsheet. Having said that, as we look at the add resource and scale, we have actions that we need to undertake at Mt Weld. And actually, they don't come through. You have to do drilling, you have to do test work, metallurgical test work, a whole variety of things. If we can convert the carbonatite to -- from a resource to reserve, then that can be a significant value to the business. So when we look at this and we look at exploration of either the carbonatite or continued exploration of the Mt Weld ore body, we're talking maybe about 1/3 of that allocation to the resource and scale. The rest of it is really about working collaboratively with -- actually, we believe it will be more than one firm in Malaysia to develop in ionic clay deposits in Malaysia. The MOU as it stands, conceives of an offtake agreement. Our view would be that we will need to be more active than that. And as I said, we're moving towards definitive agreements. The downstream capacity, the heavies investment is Pol and his team have fundamentally done the work there. We're very close to being able to commence work on that project. And then expanding into the metal and magnet supply chain. Well, we have the MOU that we've signed with JS Link for potential magnet plant in Malaysia, we think it's really important. Malaysia has the potential to be not just the center of excellence for rare earths processing, but actually for the whole of the supply chain. JS Link are well advanced in their assessment of a plant in Malaysia, and we would participate in that primarily on -- we would expect on an equity basis, but also sort of with an understanding of the value and the experience that we have in Malaysia. But also, of course, it makes sense for us in terms of uptake. So that is one opportunity, but there are other opportunities. There are 7 main projects coming to market in the U.S., many of which actually have some form of government funding, which derisks them. We want to be able to participate either on an operational or supply or an equity basis in this part of the supply chain. We think it is absolutely crucial for our upstream business that the downstream grows. And so therefore, we are prepared to -- we are keen to make a contribution to that.
Unidentified Company Representative: And I show our next question comes from the line of Mitch Ryan from Jefferies.
Mitch Ryan: We've seen government support for rare earths projects, both domestically and internationally. But should we interpret from today's raise that you don't see the government support coming from Lynas' growth projects? I know you're in discussions for a floor price, but do you not think that you'll also receive government funding?
Amanda M. Lacaze: It's a really interesting question, isn't it? For us, the big price on government intervention, of course, has been the increase in market pricing for rare earths. And as a producer, that money is already flowing into our bank account. In terms of do we want debt from the government, it has never been our preferred pathway for paying for our growth. And that's the reason why we're doing the raise today. It's not a reflection of government propensity to invest in Lynas. That's clear because we are investable. But as we look at many other projects, they have not put a variety of reasons being investable. -- and so therefore, have had to rely on different arrangements. But our agreements with -- certainly with all 3 -- the really key markets, Japan -- governments, Japan, U.S. and Australia are positive. And where relevant, we would look at a higher level of participation. Bear in mind, Japanese government is one of our key shareholders by Carey. But just right now, our chosen path for funding a number of these growth initiatives is an equity path.
Unidentified Company Representative: And I show our next question comes from the line of Reg Spencer from Canaccord.
Reg Spencer: One question is probably a little bit shorter term in nature. With stronger market pricing and I suppose, better market conditions because you guys have built to flag stronger demand, how should we think about capacity utilization or production and sales volumes into FY '26? And I asked that fully known that you do not provide specific volume guidance?
Amanda M. Lacaze: Thank you, Reg. I think that we have previously spoken to the fact that we will ramp up. It's not our desire. We will ramp up in line with market demand. And it is not our desire to produce at maximum rates to then simply be selling that product into the Chinese market for further processing. We are working very closely with both our magnet making customers in Japan, both of whom have seen a significant uplift in their business since the new licensing regime in China. We still don't see an immediate pathway to the 10,500 tonnes, but we will continue to ramp up through this year, as I said, in line with market demand. But -- if I had a magic wand, Reg, and tomorrow, we were running at 10,500 tonnes, a lot of that volume would go into China.
Unidentified Company Representative: And our next question comes from the line of Chen Jiang from Bank of America.
Chen Jiang: Just a question on your Slide 33 with the different brackets of how you're going to spend the capital raise. I'm wondering for the metal and the magnet supply chain you are going to build, are you being able to quantify the capacity you are targeting to 2030? Those numbers are not in your, I guess, FY '26 CapEx guidance. So is that fair to say the CapEx will be reflected from FY '27 to FY '30?
Amanda M. Lacaze: So hello, Chen and thanks for joining and being patient. Yes, certainly, the financial report, the CapEx, which is reflected there is really associated with our business as usual activities. And we included that in the financial report because it shows very clearly the step down from the heavy capital expenditure that we've had over the past 5 years. So no, this is not included in that framework. In terms of the capacity that we would seek to invest in metal and magnet making, we will come back and bridge the market on that in detail as we execute on some of the opportunities that we see in front of us.
Chen Jiang: Sure. So as of now, we don't know the capacity -- the downstream capacity from, I guess, $310 million increase in the metal or magnet supply chain from [indiscernible] and then you will come back to update the market.
Amanda M. Lacaze: Yes. Look, as sort of an up framing consideration here, we sell most of the NdPr that we produce, we sell in metal form, not in an oxide form via a tolling agreement with a metal maker. Taking a stronger position in that part of the supply chain, we think will ultimately be beneficial for our business. So this is about how do we develop our position and how does it protect our upstream business as well as how does it bring in new revenue streams to the business. But we will provide further detail as we move through this process.
Unidentified Company Representative: Our next question comes from the line of Jonathon Sharp from CLSA.
Jonathon Sharp: Amanda and team, a lot in this results, and congratulations on what you've achieved in 2025. Just given the Lynas' growth plans to 12,000 tonnes per annum of NdPr, the ramp-up of ex-China magnet capacity is really critical for that expansion, especially if there's going to be a next China price. At the moment, there isn't really a western market for the 12,000 tonnes, but we know -- all know it's growing. So I mean, I'd just like to know what you are seeing, what you are hearing. I'm sure it's different from what we're hearing and seeing, both from OEMs and governments just on the Western magnet making expansion plans?
Amanda M. Lacaze: So there are many magnet projects globally. There's probably more magnet projects in the U.S. at present than in the rest of the world combined, I think maybe. But having said that, a number of them are substantive players. And we believe with some more favorable market conditions will come into market. The -- we are also seeing, and you will have noted this via the MOU that we've signed, a much greater interest in developing capability from Korean firms. And of course, this should not be -- and this should not be surprising given that the magnetic materials are critical to automotive and electronics industries, both of which are key industries for the Koreans. We're working closely with all of the various magnet projects with the objectives that we will at a minimum agree supply agreements with them for materials. And with some of them, we may take that further to some sort of partnership, joint venture or equity position.
Unidentified Company Representative: And your next question comes from the line of Paul Young from Goldman Sachs.
Paul Young: I'm just sort of going through all the numbers as everyone else is. And I understand why you're raising -- considering your share prices double, but also the free carry on the U.S. refinery seem to have disappeared. So I understand that. And -- but if I look at what you've announced today and with respect to the growth, I'm not getting any additional NdPr production. We're getting additional heavy rare earths production, we're going downstream into magnets, and I know the pricing backdrop changed, so -- which is great. But just on the 12,000 tonnes of NdPr and why you're still sticking to that, why actually it's not higher? So I just wanted to delve into that. Is that -- is -- what's limiting the 12,000 tonnes? Is it simply what Mt Weld can do post the expansion? Or is it actually the ability to -- the inability to go beyond 12,000 tonnes in Malaysia?
Amanda M. Lacaze: Actually, it is more that we've sought to size it to the market, Paul. But your point is well made. It may be depending upon the rate at which the market grows and that some of the supply shifts to some of the outside China supply chains. Given that we add the Malaysian resource, so we've got additional MREC coming in as well, we potentially could increase that further. We do need as part of this, the Malaysian facility now is over 10 years old, and it's operating today at twice what its original nameplate was when it was first built in 2011. There are certain improvements to infrastructure and utilities, which are associated with lifting that further. But they are not ultimately constraints on the ability to do it. We have simply made the judgment that right now, getting to the 10,500 tonnes is sufficient for us to serve the market and that we will get more bang for our back out of, for example, separating more of the heavies and the leverage that, that gives us in the market, not just for selling the heavies, but also -- but bundling with certain of our other products is going to give us more value than just adding more capacity.
Paul Young: Okay. So just to clarify, you're chasing returns that you're maximizing returns on this investment. That's the message?
Amanda M. Lacaze: Sure, what? I think that's our day job.
Unidentified Company Representative: Our next question comes from the line of Al Harvey from JPMorgan.
Alistair Harvey: And just on the downstream capacity and the heavies, you've got $310 million going out there, but it looks like the focus is on samarium and yttrium extract rather than a typical higher-value dysprosium and terbium. So I just wanted to get a sense of where you see spot prices for samarium and yttrium and how valuable you think that could be versus dysprosium and terbium and perhaps just whether or not the downstream expansion bucket does include any additional DyTb capacity, given its value to the business?
Amanda M. Lacaze: Thanks, Al. Good question. Unintended implication as we put in the larger plant. Yes, we will increase overall production, and we will increase -- which means including to those products that we're already separating and we will separate more. And depending upon what the additional feedstock that we develop and identify that number of different products may expand. We don't sell our heavies with reference to a market index. We won't sell samarium or yttrium with reference to a market index because if we -- because it simply doesn't reflect the value of those products to the customers that we seek to serve. So we know that there is significant demand, both in the U.S. and Japan for samarium, which is why we are focused on that as the first additional product in our product set, but we also understand that there is significantly more demand for Dy and Tb than we can serve from our current operations, and we will be looking to find a way to lift up that volume as we go forward.
Alistair Harvey: And I get what you mean, it's just challenging, I suppose, when we bucket all these things together as heavy. It's a bit like bucketing lights when there's such a difference between [indiscernible].
Amanda M. Lacaze: Exactly, exactly. And if we wanted to sell at the benchmark price, we might be talking about anywhere from $500 for some products to $1 for other products. We feel that we're in a stronger position to be able to leverage this unique value that we have in heavies, and we're going to make sure that we do that.
Unidentified Company Representative: And I show our next question comes from the line of Regan Burrows from Bell Potter.
Regan Burrows: Just -- a lot of them have already been answered. But just on the Seadrift and how we sort of think about that, if it doesn't come on line, what your sort of time frame is for upgrading capacity in that downstream separation phase at LAMP? And are there any limits on, I guess, how far you can expand capacity at LAMP?
Amanda M. Lacaze: Yes. So -- thanks, good question. We will have a broader range of separated heavy rare earths coming out of our facility in Malaysia faster than we would a greenfield site in the U.S. And frankly, we are very comfortable that, that is a better pathway for us and indeed for the customers of these products because it ensures that we have material in a shorter time frame than building a greenfield plant in the U.S. I mean I think everybody on this call understands that any time you're doing a brownfield development, it's going to happen faster, it's going to be more cost effective. So we see this as a positive and I'd just point you to my comments about the U.S. government understands that there is a functioning rare earth supply chain, and it is important to protect that even as they support development of new facilities.
Unidentified Company Representative: And our last question comes from the line of Mitch Ryan from Jefferies.
Mitch Ryan: Just given the historic political headwinds you faced in Malaysia. I'm interested in the logic in potentially building a magnet facility there and then continuing to invest. Can you help me understand the rationale for that?
Amanda M. Lacaze: Sure. I think that -- yes, I've been watching the Lion King recently with my sudden new granddaughter and sort of I'm reminded of Timon and Pumbaa, put the past behind you. And there's a little bit of that as we think about our position in Malaysia. And there was an article actually just in the last few days in Malaysiakini, which exhausted the Malaysian government to ensure the Malaysian population was provided with accurate information rather than the mysteries that had come out about Lynas over the years. And that was provided by a politician who did not use to be a supporter of Lynas. And so I would point you to the new legislation was taken -- was tabled in Parliament last week for its first reading, and that would give the government room to be able to -- under the current Atomic Energy Licensing Act, the license can only be granted [indiscernible]. It gives room actually for some more flexibility around that with the focus really being on do we meet regulations and the intent to depoliticize the Lynas issue. We would say we have a very good relationship with the Malaysian government, and we think that continuing to increase development of the whole of the rare earths ecosystem will serve us in good stead. Okay. And I think that's the end of the questions. And once again, I thank you all for your patience in winding through those technical issues and look forward to continuing to deliver outsized returns for you as our shareholders.